Catherine Dolton: Good morning. This is Catherine Dolton, Head of Investor Relations at IHG. I'm joined this morning by Paul Edgecliffe-Johnson, Chief Financial Officer. Before I hand over to Paul for the discussion of our third quarter results, I need to remind you that in the following discussion, the company may make certain forward-looking statements as defined under U.S. law. Please check this morning's press release and the company's SEC filings that could lead actual results to differ materially from any such forward-looking statements. I'll now turn the call over to Paul.
Paul Edgecliffe-Johnson: Thanks Catherine and hello everybody. Thanks for joining us. I’ll begin with some of the key highlights in the period before covering each of our regions in turn and then I’ll open up the call to questions. So, we’ve delivered a good third quarter performance driving RevPAR up 2.3% and net system size growth of 4.1% year-on-year. This is our strongest pace since 2010 and was lead by double-digit growth in our greater China and Asia, Middle East and Africa regions. We opened 11,000 rooms or 70 hotels, which is our highest third quarter rate since 2011. At the same time, we remain focused on removing underperforming hotels from our system, exiting 3,000 rooms most of which were in the Americas. Looking out to future growth, we signed just under 20,000 rooms or 137 hotels into our pipeline. This was our highest third quarter signings pace since 2008 and included almost 7,500 rooms in greater China. This takes our year-to-date signings in the region to over 17,000 rooms, our strongest ever performance by some margin. Our total group pipeline now stands at 235,000 rooms with our share of the active global industry pipeline that’s three times our share of open rooms. We assess that well for future organic growth. At our first half results in August, we talked about the opportunities we see to drive in acceleration in our growth rate focusing on finding further efficiencies to create more fuel for growth and increasing resources behind our highest opportunity markets and segments. With that in mind, in September we announced the official launch of avid hotels. This brand is targeted at the $20 billion midscale segment in the US where 14 million guests are currently underserved by the existing brands. Avid hotels will be highly attractive for these guests and it is a new build only brand, it will provide quality in the areas that matter the most, at a competitive price point. For owners, the lean operating model and cost engineered design will deliver similar returns to Holiday Inn Express to a highly compelling proposition. We expect avid will become one of our largest brands in the US and its already generating strong traction with owners. With more than 150 written expressions of interest and over 50 applications in the first four weeks of franchise sales [indiscernible] demand has already exceeded our original expectations. We continue to strengthen our position in the fast growing boutique segment. In Kimpton's home market of the US, we opened two new hotels in the third quarter and signed a further three. Our strategy for taking Kimpton global is picking up pace as well. Earlier this week, we announced our first Kimpton signings across China and Asia with fantastic locations in Bali, Shanghai and Sanya Bay. With 4 U.S. Kimpton properties due to open in the fourth quarter and further international signings expected, we hope to end 2017 having secured representation for the brand in 10 major markets around the world. The third quarter also marked the international expansion of our wellness brand EVEN Hotels, with deals signed in Shanghai and Sanya Bay in China and in Auckland, New Zealand. EVEN Hotels is well placed to capitalize on an increasing consumer demand for health and well-being in both these markets. The Holiday Inn brand family continues to be our main engine for growth. In the third quarter, we opened almost 7,000 rooms and signed or 13,000. In China, we're seeing particularly strong demand for our Holiday Inn Express franchise plus proposition with 19 deals signed in the quarter and more than 70 under discussion. We now have six franchises plus properties open and a further 58 in the pipeline and we expect to see a continued ramp up in activity over the next 12 months. Before I talk about trading, as I am sure you are aware there were a number of natural disasters around the world during the third quarter. These included flooding in South Asia, earthquakes in China and Mexico, and of course hurricanes Harvey, Irma, and Maria in the US and Caribbean. Events such as these obviously brings significant challenges to our hotels, but one thing we always see is the crucial role they play in providing shelter for those impacted. Our IHG Foundation has been working closely with our hotels and the other agencies in the affected areas to help local communities get back on their feet. Turning now more specifically to our trading performance. We saw RevPAR growth of 2.3% across the group in the quarter, which included growth in all four regions. In the Americas RevPAR grew by 0.8% with the US, up 0.4%. Hurricanes Harvey and Irma had a mixed impact on trading. Our franchise business benefited from increased demand relating to the displacement of residence and accommodating those associated with the relief and reconstruction efforts. In contrast, our managed business was negatively impacted by group cancellations in our full service hotels. Other factors impacting performance included the benefit from solar eclipse demand in August, a negative calendar shift throughout the quarter. Excluding the effect of the hurricanes and these one-off events, our best estimate is that underlying US RevPAR was marginally positive. In the fourth quarter, we expect to see a positive impact from those calendar shift in the relation to Jewish observances and the ongoing hurricane relief efforts. Our slower pace of growth in the third quarter was consistent with the wider US industry, which continues to operate at record levels of demand. US industry demand growth has accelerated in 2017 and continues to outpace GDP growth, as it has since 2010. Something that was not common in previous cycles. Supply growth has been below the long-term average for some seven years. And whilst it has slowly been increasing, limiting factors, such as the availability of financing give us confidence that this pace of growth shouldn't take a significant step-up. These dynamics have all been very positive for RevPAR driving US industry occupancies and real ideas to all-time highs in 2017. Looking ahead fundamentals remain strong and industry forecasters expect room demand to be robust. Given the strong performance over recent years however it is inevitable that US industry RevPAR growth will continue to be at the more muted levels seen recently and will be driven predominantly by rates. Our brands command a significant rate premium to the industry and are operating at near record operate occupancy levels. We are confident that this high level of performance combined with our strong pipeline of new rooms will deliver solid growth and generate significant free cash flow into the future. Elsewhere in the Americas, Canada was up 7%, driven by urban markets, whilst the Mexico RevPAR was flat due to disruption caused by September's earthquake. Moving on now to Europe, where overall RevPAR has accelerated to 7.1%. In the UK, we outperformed the market growing RevPAR by 4%, a strengthening comparative slow growth across the industry. In London, RevPAR was up 3%, while the UK provinces continue to show positive mid-single digit RevPAR growth. In Germany, RevPAR grew 3% with more moderate trade fair activity as expected. Markets impacted by terror attacks in 2015 and 2016 continue to recover. France was up 6% driven by 11% growth in Paris, whilst Belgium and Turkey saw significant gains. Elsewhere, we saw strong demand across Southern Europe driving double-digit growth in several of our smaller markets. Turning now to our Asia, Middle East and Africa regions where RevPAR was up 0.6% in the quarter. In the Middle East, RevPAR was down 6%, due to the ongoing impact of low oil prices and increased industry-wide supply growth. This decline was exacerbated by the timing of Ramadan, which fell fully in the second quarter this year. Performance in the rest of our Asia, Middle East and Africa region was strong with RevPAR up 4%. Japan was broadly flat with trading impacted by weak trends in demand and disruption caused by typhoon activity in September. In India, RevPAR grew 10%, driven by double-digit growth in foreign tourist arrivals and increasing demand from domestic business and areas of travel. Australasia and Southeast Asia were both up 7%, driven by limited supply in some markets and strong growth in international in-bound travel to Vietnam. Finally, moving to Greater China where RevPAR accelerated to 7.8%. Mainland China grew 9% with RevPAR growth of between 8% and 9% in Tier 1, 2, and 3 cities. Strong meetings in corporate demand across the region was boosted by major trade events brought forward from quarter four and the quadrennial Chinese National games event, as well as relatively weak prior comparables in Tier 2 and Tier 3 cities. Hong Kong RevPAR fell 1%, impacted by the renovations at one property, which are now finished, whilst Macau RevPAR was up 15%, due to increased leisure demand and new hotel that continues to ramp up. So to summarize, we’ve had a good third quarter. We continue to accelerate net system size growth increasing it by 4.1% year-on-year, our fastest rate since 2010. We grew RevPAR in all of our markets with Europe and greater China, particularly strong and we signed more rooms than in any of third quarter since 2008. We also launched avid hotels, which we expect will grow to become one of our largest brands in the US, a really exciting opportunity for us. Looking ahead, despite macroeconomic and geopolitical uncertainties around the world, we remain confident in the outlook for the remainder of the year. With that, let’s open up the call for questions. Please Holly.
Operator: [Operator Instructions] Our first question today comes from the line of Chris Agnew of MKM Partners. Chris, please go ahead?
Chris Agnew: Thank you very much, good morning. Couple of questions. First one, I know there are a lot of puts and takes in the quarter. I was just wondering if you would be able to quantify what you believe the impact of the Jewish holidays in the third quarter and therefore maybe likely in the fourth quarter? Thank you.
Paul Edgecliffe-Johnson: Thanks Chris. It is kind of difficult with all the puts and takes coming in to pull out each one because they interrelated with each other because for example, we have had some group business that didn’t materialize because it was cancelled in the hurricane hitting areas, but then the franchise business benefited from that because we got more FEMA business et cetera. So to try and put some individual number on each companion part there is too much guesstimation that would have to go on to that, so I’m not going to give a specific number for the Jewish observances.
Chris Agnew: Understood. I thought I would try that. And then next question on, if we could just maybe think about comparing avid with respect to EVEN Hotels I think on the earlier call in the UK you said that EVEN had got off to a slow start in the US, why where you so much more confident about avid are you pitching this with, is there a lower royalty rate, is it higher ROI is it larger end market, what’s driving your increased confidence in that brand?
Paul Edgecliffe-Johnson: Thanks Chris. So avid is absolutely in our sweet spot where we really already have the category killer. So Holiday Inn Express is the category killer in our limited service market. If you look at its growth around the world there is nobody who has a brand like that. And then we’re launching avid into that existing reputation and that known competency for revenue delivery into that segment. It is a smaller plot as required for the owners and it is going to be slightly lower price point, slightly tighter rooms or value engineers, a very high GOP margins for owners, have a very high ROI, and going up against Hotel products that frankly is pretty old in that segment. So it is going to be something that isn’t offered to consumers at the moment. So it is going to be very effective attractive from an owner perspective, very attractive from a guest perspective, and that’s already playing through in the interest that we're getting from owners, worked with our own counsel and developing this and we know there is a lot of them who want to build a lot of avid. So, I have absolutely no doubt as to it. So, it is strong success initially in the US and then over time, I am sure we will take it internationally as well. Compare that with EVEN, EVEN will be a success for us in due course and it will have international capability, but it is more into one niche positioning, niche positioning where people really want this wellness product and they will pay a premium for it, which we are seeing as these hotels are performing well and there have been demand from owners in China and in the Australasia market to bring the product there, but it is not going to be a product at the same scale of avid.
Chris Agnew: Got it. Thank you. And then last question, you had strong net unit growth in the quarter and obviously the pipeline is growing strongly, you have strong growth additions, you know a lot of your net unit growth comes down because the removals, most of that is in the US. Is that starting to slow the pace of removals and why might that happen as we think out over the next couple of years? Thanks.
Paul Edgecliffe-Johnson: Yes. No, absolutely, and we talked about our exit range, our removals range being in the 2% to 3% range and we are managing to bring that down for few years, we are right at the top of that and I would like to see us read down at the bottom end of that range. Not sure exactly which year that’s going to be, but I think that’s doable, and partly it is that we have moved our US franchise contracts from a 10-year contract on to our 20 year contract and that is helping us get owners to invest back in the properties more early and also we have just been taking out some of these hotels that we weren't happy with the product quality and becoming right the tale of that. So, I think we have got good momentum around that and then the signings that we have had, which has been ramping up quite nicely, I guess since about 2012 are now starting to play to a higher level of openings, which mathematically they will be. There is just a timing lag, which is then translating into a higher rate of net system size growth.
Chris Agnew: Got it. Thank you very much.
Paul Edgecliffe-Johnson: Thanks Chris.
Operator: Our next question today comes from Stephen Grambling of Goldman Sachs. Stephen, please go ahead.
Stephen Grambling: Hi. Thanks for taking the question. Do you have any early reads on 2018 from forward group bookings or otherwise that you can share?
Paul Edgecliffe-Johnson: Good morning Stephen. You know because we are not as big as a group house as - or we don't get quite that same level of early booking pace visibility, so it is quite early to look at it. I guess what we look at is the numbers that are coming out from Star and others around demand growth around supply growth and it doesn't look to be a particularly different picture to what would save 2017. I guess the only thing I would add into that is that the boost that we have seen in the third quarter. We would expect it would translate through to certainly first half of 2018, could it does take some time when you look at Katrina and from hurricanes, when you look at Katrina and Sandy it is probably a 5 quarter, 6 quarter benefit. I wouldn’t expect it to be materially different this time.
Stephen Grambling: That’s helpful. And then in terms of the accelerating unit count, I think you kind of have been pretty clear about sustaining a little bit for higher pace, but how should we think about the impact on RevPAR I guess from accelerating unit growth longer term, there seems like there is some puts and takes between the absolute RevPAR dollars from some of the new units coming in versus maybe the ramp up in those properties that can occur? Thanks.
Paul Edgecliffe-Johnson: Yes. So there is a few component parts to that Stephen. One is, obviously as we open up new properties that you will have to ramp up and that will take say three years, it’s fairly normal for a luxury property it will take a little longer, but then you've got the mix impact that we are opening up a lot of hotels into China market and sum of the markets that we’re going into that. They will be great markets long term, but they got to fully develop before they are really yielding that potential RevPAR. So in terms of the blend and the mix effect it’s not one for one as we bring in these new rooms. We are bringing in some of them at a lower RevPAR, so it won't translate directly through to that same level of revenue growth.
Stephen Grambling: Okay that’s helpful and then one last one if I can is may be changing gears a little bit, just on the technology investment and the roll out of the Cloud-based reservation management system, can you just remind us the exact timing and how your CapEx spend should evolve over the next couple of years? Thanks.
Paul Edgecliffe-Johnson: Absolutely. So GRS program is on track and very pleased with progress, we’re expecting to have it in 100 hotels by the end of this year and then we will start the full rollout in 2018 and we expect to have it rolled out across the state by end of the year/first quarter of 2019. So that will be our replacement for the whole of ex-platform, which has been around for 25 years or so. So it’s a big deal for us obviously, and the vast majority of the costs of this has been picked up by Amadeus, who is the platform partners who will be offering on a community basis to other companies in the sector. What we have been paying for through our CapEx is our enterprise software that fits on top of that to our revenue management price optimization CRM software capabilities et cetera. All the stuff that is proprietary to us, we have been building that to work against a new engine. So that the cost of that, which we have been front in the CapEx for and then we will get that back over time as it is depreciated to consistent fund.
Stephen Grambling: And do you think of this as being something that could give you another leg up in RevPAR or is it more about the unit growth going forward maybe if you just think about the primary benefits aside from switching over from outdated kind of software to begin with?
Paul Edgecliffe-Johnson: There is a few different advantages from it. One is there will be a revenue uplift on our day over time and as we are able to do more with the system as we bring out new functionality. The version one, if you like is the existing functionality and of holiday. Interestingly though, what we've found it didn't expect was the number of owners have said we like the new functionality, and the functionality exist in the old system it was just quite hard to find some of it. It was still a DOS-based system and so this is now obviously in a Windows environment with a much more accessible interface. So more of the tools are going to be used, which should have some benefit to RevPAR and then we are able to add in more functionality, which will allow us to do things like revenue manage the overall attributes of the Hotel inventory better and that’s down the line once we roll those out. But it also makes training easier and there is a number of other benefits that it will bring to us, as well as the fact that you do have to replace these technology platforms over time because otherwise they just become too difficult to maintain because your software engineers retire and you really need to be working of your environment.
Stephen Grambling: That's great, thank you so much.
Paul Edgecliffe-Johnson: Thanks Stephen.
Operator: [Operator Instructions]
Paul Edgecliffe-Johnson: Well, thanks Holly. I think that's all the questions we have got for today. So many thanks to everybody for dialing in. Thanks for your interest and have a great weekend. Speak to you soon. Bye for now.